Operator: Good afternoon. Thank you for attending today’s Rocket Lab Fourth Quarter 2021 Financial Results Conference Call. My name is Tanya, and I will be your moderator for today’s call. All lines will be muted during the presentation portion of the call with an opportunity for questions-and-answers at the end. [Operator Instructions] I would now like to pass the conference over to our host, Gideon Massey, Financial Planning and Analyst Manager. Please go ahead.
Gideon Massey: Thank you, Operator. Good afternoon, everyone. And thank you for joining us on today’s conference call to discuss Rocket Lab’s fourth quarter and full year 2021 financial results. Today’s call is being hosted by our Founder and CEO, Peter Beck; and our Chief Financial Officer, Adam Spice. After our prepared comments, we will take your questions. Our comments today include forward-looking statements within the meaning of applicable security laws, including statements relating to our guidance for first quarter 2022, including revenue in our principal target markets, GAAP and non-GAAP gross margin, GAAP and non-GAAP operating expenses, interest and other expense, and adjusted EBITDA. In addition, we will make forward-looking statements relating to trends, opportunities and uncertainties in various products and geographic markets, including without limitation, statements concerning opportunities arising from our Launch Services and Space systems markets and opportunities for improved revenues across our target markets. These forward-looking statements involve substantial risks and uncertainties, including risks arising from competition, global trade and export restrictions, the impact of the COVID-19 pandemic, our dependency on a limited number of customers, average selling price trends and risks that our markets and growth opportunities may not develop as we currently expect and that our assumptions concerning these opportunities may prove incorrect. More information on these and other risks may -- that may affect the forward-looking statements has outlined in the Risk Factors section of our 2021 10-K filing, which will be filed on or before March 31, 2022 today and the documents incorporated therein. Any forward-looking statements are made as of today and Rocket Lab has no obligations to update or revise any forward-looking statements. The fourth quarter and full year 2021 earnings release is available in the Investor Relations section of our website at rocketlabusa.com. To supplement our unaudited consolidated financial statements presented on a basis consistent with GAAP, we disclose certain non-GAAP financial measures, including gross margin and operating expenses. These supplemental measures exclude the effects of stock-based compensation expense, amortization of purchased intangible assets, and other non-recurring interest and other income expenses, net attributable to acquisitions, non-cash income tax benefits and expenses and performance reserve escrow amortization. We also supplement our unaudited historical statements and forward-looking guidance with the measure of adjusted EBITDA, where adjustments to EBITDA include share-based compensation, warrant expense related to customers and partners, third-party expenses related to mergers and acquisition activity, foreign exchange gains or losses, performance reserve escrow, and other non-operating income and loss, excluding interest expense related to debt and other non-reoccurring gains and losses. We encourage investors to review the detailed reconciliation of our GAAP and non-GAAP presentations in our investor’s update -- updated presentation available on our website. We not -- we do not provide a reconciliation of non-GAAP guidance for future periods, because of the inherent uncertainty associated with our ability to project certain future charges including stock-based compensation and its associated tax effects and the effects of warrant expense related to customers and partners. Non-GAAP financial measures discussed today are not in accordance with and do not serve as an alternative for the presentation of Rocket Lab’s GAAP financial results. We are providing this information to enable investors to perform more meaningful comparisons of our operating results in a manner similar to management’s analysis of our business. We believe that these non-GAAP measures have limitations and that they do not reflect all the amounts associated with our GAAP results of operations. These non-GAAP measures should only be viewed in conjunction with corresponding GAAP measures. And lastly, this call is also being webcast with a supporting presentation, and a replay and copy of the presentation will be available on our website for two weeks. And now let me turn the call over to Peter Beck, Founder and CEO..
Peter Beck: Thanks very much, Gideon. And before I get going here, just I want to confirm that Flight 24, which we launched earlier today, those deployed payload and permission is expected. So today’s presenters and joining me to review Rocket Lab’s business highlights and final -- financial results for the fourth quarter and 2021 year, joining me on today’s call is Chief Financial Officer, Adam Spice. So the agenda today, today I will be taking you through our key business accomplishments for the fourth quarter and full year 2021, and Adam will be covering off their financial highlights and outlook, during our up and coming conference schedule, and of course, we will have plenty of time for some Q&A. So, firstly, let’s start with a bit of a review of our key accomplishments in 2021. I think this slide speaks for itself, but I will touch on a key point. Despite all the challenges created by the ongoing pandemic, including stringent border restrictions and picking up operations at our New Zealand launch site in particular, we still managed to launch six electron missions in 2021. As such, electron retains the title of the second most frequently launched U.S. rocket. Beyond launch, the breadth and scope of our achievements across geographic regions, space application and customers is very encouraging to me and there’s so much more to come. So Q4 highlights. In Q4, I am very pleased that we are able to welcome Advanced Solutions and ASI and Planetary Systems Corporation, PSC, into the Rocket Lab’s family and portfolio of solutions, and amount the intent to acquire SolAero Technologies, which ultimately closed in Q1 2022. Not only do these teams provide decades of industry experience and industrial-leading technology. Culturally these companies have great leadership teams that will provide value to Rocket Lab for years to come. While all of this was happening, we still had a business to run and we are able to launch civil rockets to complete our third ocean recovery of our electron Victor inching closer to four reusable Electron launch and signing some significant contracts and achieving some very good project milestone. Backlog, this is the best slide. So in 2021, we saw a significant uptick in our backlog and that’s continued into 2022. At December 31, 2020, our backlog stood at $82 million and we ended December 31, 2021 at $241 million, and today, our backlog stands at over $0.5 billion at $545 million, representing a $453 million increase in our total backlog since the end of 2022, and backlog to us confirmed customers and contracts won. We have seen bookings strengthen across every major product in the company, including Electron launch contracts, government study contracts, Interplanetary Photon satellites, Orbital Debris Removal programs, massive demonstration missions that include photon satellites and numerous rocket-led satellite components and software sales than a global customer base. These customers include the U.S. Government, foreign governments, universities and commercial customers and constellation operator. I do want to take a moment to state how incredibly proud I am to see all of the use cases we are filing for our technology and high value missions we are with our suite of products and services. Our vision Rocket Lab years ago that it would become an end-to-end space company, delivering best-in-class technology and services spanning the entire space economy. While Rocket Lab is still in the early stages of this strategy, it’s very exciting to see that strategy start to be approved. As I mentioned in the past slide, Q4 2021 saw two successful electron launches. So, as mentioned in prior slide, 2021 saw successful electron launches bringing our total to six mission for 2021. Rocket Lab has now deployed 109 satellites across 23 Electrons launched and interplanetary include today as well 110 and 24. So we started the part of our strategy after entering the public markets would be to further expand our vertical integration in Space Systems, manufacturing and creating special to supply chain ecosystem. We have executed on that strategy as evidenced by the acquisition of ASI, PSC and SolAero. With a quick refresher, ASI is based in Littleton, Colorado, the nation’s second largest aerospace economy, and they develop industry-leading off-the-shelf flight software and guidance litigation and control systems. ASI’s NEX Flagstar has been operating across more than 45 spacecraft for a cumulative 135 years in space. In Q4, we also acquired PSC, a Maryland-based provider of nickel separation system and satellite features with 100% mission success heritage to-date across more than 100 missions. Moving on to SolAero Technologies based in Albuquerque, New Mexico. SolAero is a premier supplier of space solar power products and precision and aerospace structures for the global aerospace market. According to SolAero, bought the world’s largest production line of high-performing space solar sales into the Rocket Lab business. SolAero’s power cells, solar panels and composite structural products have supported more than 1,000 successful space missions with, once again, 100% reliability and mission success to-date. Over the past two decades, SolAero’s products have played key roles in some of the industry’s most ambitious space mission, including supplying power to NASA’s Parker Solar Probe and Mad Insite Lander, the larger solar array ever to be deployed on the surface of Mars, and several Cygnus cargo resupply missions to the International Space Station to mention just a few. These three strategic acquisitions joined Sinclair Interplanetary, which we acquired in April 2020. Later in this presentation, I will spend some time discussing the positive impact of these acquisitions and the capabilities that we have now brought in house. For acquisition strategy, I love the slide as it highlights the breadth of Rocket Lab’s capabilities, and we have -- and that we have rapidly developed over the past few years, spanning nearly the entire space ecosystem, and proving that Rocket Lab is a leading provider of end-to-end space solutions. Investments both organically and inorganically allow Rocket Lab to capture value from almost every active mission in whatever phase the mission is in. We are seeing this in our internal business development meetings as we -- as it can be seen in the backlog growth we have experienced in 2021 and that has continued into 2022. From the James Webb Space Telescope to ISS Resupply mission, Mega Constellations or cutting-edge defense industry satellites, Rocket Lab’s products and services can be seen almost everywhere. In 2021, our technology was included in 38% of all launches in 2021. And we have over 220 missions in development through the launch and spacecraft programs across almost every sector of the rapidly growing space economics. These missions include NASA, European Space Agency, Japan Aerospace Exploration Agency, or JAXA, Department of Defense, Commercial Constellation Operators and Prime Contractors. In addition to Rocket Lab’s expanding products and services and technologies, Rocket Lab’s footprint is also expanded. With the recent acquisition of close, Rocket Lab now has locations across five different states in the United States, as well as three locations in New Zealand and one location in Toronto, Canada. This expanded footprint has enabled Rocket Lab to attract and recruit some of the smartest people in the space industry to help guide and shape our programs and I see this as a really strategic long-term differentiator from our peers. It seems like years ago that Rocket Lab completed the successful despec merger with our partner, Vector Acquisition Corporation, but it was such a watershed moment in Rocket Lab’s history and has and will continue to enable considerable growth into the future properly. We could not be happier with the -- with our -- talk to work with Vector and who really turned out to be the perfect partner for Rocket Lab. This has unlocked considerable amount of opportunities for Rocket Lab and we continue to do so, and I could not be happier with really how it’s been on in the last six months. We have also signed and continue to sign a large number of multi-launch agreements. So electron really continues to distinguish itself in the industry, leading small launch vehicles with multiple multi-launch deals signed across commercial constellation operators. Customers are choosing electron as a reliable, dedicated launch solution that will place their assets on or about where and when they need them to ensure the highest long-term value being quickest part to revenue of the world-changing technology. In the midst of everything else, Rocket Lab accomplished in 2021, the neutron program remains on track. Rocket Lab remains committed to becoming a launch provider for the national security space launch for NSSL program, which launches the U.S.’s most critical missions, as well as becoming the constellation building workforce across our border government and commercial [inaudible]. With two electron first stage recovery successfully completed in 2021, the foundation has been laid for the first media launch recovery attempt which will occur very soon in 2022. Full stage one recovery is important to enabling greater launch cadence and also lowering electrons cost per mission. In August 2021, our ESCAPADE program passed the key NASA mission review, moving the mission into the next phase with our target launch written the date of October 2024. This mission is in partnership with UC Berkeley’s Space Sciences Laboratory, where it will put two photon spacecraft into the atmosphere of Mars to study its magnetosphere. The mission will leverage Sinclair, PSC, ASI, SolAero and Rocket Lab organic products and services, helping provide a really low cost solution with considerably less supply chain risk than traditional programs. Lastly, for 2021 accomplishments, it’s important to highlight the diverse and high-quality new and repeat customer base that Rocket Lab is establishing and supporting across our equal diversity of products and service offering. So now I just want to discuss a few additional accomplishments that Rocket Lab has achieved post the end the fiscal year 2021. Well, this week, we announced in collaboration with MDA and Globalstar $143 million contract to design and manufacture 17 satellites for Globalstar with the option for nine more. This contract reflects a deliberate and well resource strategy to grow Rocket Lab’s Space Systems business and deepen our value proposition beyond launch and into complete end-to-end space mission solution. Rocket Lab is awarded this contract over established Tier 1 prime contractors and a highly competitive bid process. Important to say, these are not cube sats, these are large complex 500 kilograms spacecraft, meeting the stringent customer requirements for designing and building this constellation required demonstrating that Rocket Lab has the expense facility, expertise and embedded supply chain capabilities to deliver on such a complex mission. To deliver this spacecraft and establish long-term capabilities for spacecraft manufacturing at scale, we are building out a state-of-the-art spacecraft manufacturing facilities at our Long Beach headquarters, and production is complete. Feeding into this are the components and subsystems created by Rocket Lab’s recently acquired company. This deep level of vertical integration offers our customers a fleet of security and really attractive pricing. When we first announced plans to become a public company, we understand our space is a strategy with one simple aspiration. Everything that goes to space should have a Rocket Lab logo on it. Today, we have made great progress on that strategy with our organically -- with our organically developed technology and via acquisition. Rocket Lab now delivers multiple parts of the launch and satellite supply chain, enabling us to offer scheduled security and attractive pricing. We operate state-of-the-art facilities and have 1,200 strong global team and a robust supply chain now in place to deliver spacecraft and component manufacturing at scale to meet growing demand. The MDA contract is just 1 example of the strategy now in play. Since the end of the fiscal year 2021, Rocket Lab is also being selected by NASA to be part of the beta program, which unlocks up to $300 million in potential launch services and revenue across 12 different launch providers of which Rocket Lab is one of them. We began the development of a new Space Systems complex. So last month, we announced the expansion with our new Space Systems complex in Littleton, Colorado to support the growing customer demand for flight software, mission simulation and guidance for navigation and control services. When we made the decision to acquire ASI, the Littleton, Colorado location was viewed as a strategic geographical location and this investment signifies our view. Last week, we announced bringing on our third launch pad to operational status and today we are well and truly present, representing the second launch pad at our Launch Complex 1. This essentially doubles our launch capacity and allows us to meet the growing demand for electronic launch services. After a considerable deliberation, we are excited to have chosen the State of Virginia for our Neutron launch site and production complex. The Commonwealth of Virginia can afford with a very attractive offer that we can turn on and with considerable investment incentives, both in infrastructure and an operational system improvement at the Mid-Atlantic Regional Spaceport to enable neutron launch and production needs. So neutron is officially basing itself at Wallops out in Virginia. So, with that, I will hand over the call to Adam Spice, our Chief Financial Officer. Adam, over to you.
Adam Spice: Great. Thanks, Pete. I will first review our fourth quarter and full year 2021 results, and then discuss our outlook for Q1 2022. Fourth quarter 2021 revenue was $27.5 million, with $1.7 million of revenue contribution coming from a partial quarter of PSC, which was not included in the guidance for Q4. Net of this, revenue was $25.8 million, slightly above the high end of our prior guidance range. Revenue in the fourth quarter included 2 successful BlackSky Global launches, consistent with prior guidance. Space Systems saw strength across both service contracts and Sinclair components, as well as partial quarter contribution for ASI and the aforementioned PSC acquisition. Full year 2021 revenue was $62.2 million, with 63% or $39 million coming from Launch Services and 37% or $23.2 million coming from Space Systems. Overall, our revenue grew by 77% year-on-year with Launch Services growing 18% year-on-year and Space Systems growing 14-fold year-on-year. GAAP and non-GAAP gross margins for the fourth quarter of 2021 were 24% and 36%, respectively. This was better than the Q4 guidance on a GAAP and non-GAAP basis, driven by lower than expected launch costs, as well as by a positive revenue mix of higher profit Space Systems Products and Services. This compares to GAAP and non-GAAP gross margins of negative 236% and negative 84%, respectively, in the third quarter of 2021, which were significantly impacted by a one-time catch-up related to stock-based compensation charges triggered by the de-spac transaction, as well as COVID restrictions in New Zealand and the related impacts on our launch rate and overhead absorption in the prior Q3 2021 period. Gross margins for the full year 2021 were negative 3% and positive 16%, respectively. Launch Services GAAP and non-GAAP gross margins were 1% and 6% in the fourth quarter, respectively, versus a negative 131% and negative 668% in Q3 of 2021. For full year 2021, Launch Services GAAP and non-GAAP gross margins were negative 38% and negative 15%, respectively, and showed a positive trend as we exited the year. The improvement in gross in the fourth quarter of 2021 was a result of higher electron build rates. Space Systems GAAP and non-GAAP gross margins were 48% and 67% in the fourth quarter, respectively, versus 71% and 73% in Q3 of 2021. For full year 2021, Space Systems GAAP and non-GAAP gross margins were 56% and 68%, respectively. Turning to operating expenses, GAAP operating expenses for the fourth quarter of 2021 were $31 million, which was approximately $6 million higher than prior guidance, driven by unforecasted purchase price intangible amortization expenses related to the acquisitions of ASC (sic) [ASI] and PSC with 700K -- $700,000, with stock-based compensation related to PSC of $800,000, performance-based escrow revest related to ASI of $1.8 million, a onetime stock-based compensation bonus related to certain R&D and production milestones, as well as costs associated with our employee share purchase plan of $800,000 and $1.8 million in higher-than-anticipated deal-related fees and expenses from acquisition activity in the quarter. Full year 2021 GAAP operates were $100.2 million, compared to $43.1 million in 2020. The step-up in 2021 operating expenses were $100.2 million compared to, sorry, the step-up in 2021 as compared to 2020, was primarily driven by higher prototyping spend and staff costs targeting the broadening out of our Space Systems Products and Services and the development of our neutron launch vehicle, as well as higher public company spending related to our audit and professional services, staff costs and director of offices insurance premiums. Non-GAAP operating expenses for the fourth quarter of 2021 were $20.4 million, in line with fourth quarter guidance. Full year 2021 non-GAAP operating expenses were $62.3 million versus $38.4 million in 2020. We will continue to aggressively invest in TAM expanding product initiatives that we believe will strengthen our competitive positioning as an end-to-end space company, as well as in our public company infrastructure. Moving to the consolidated statement of operations and income and adjusted EBITDA, Q4 2021 adjusted EBITDA loss was $8.5 million, which was $1.5 million better than the midpoint of our Q4 guidance range, driven by the previously mentioned outperformance relative to revenue and margin in the quarter. Primary adjustments and reconciling Q4 GAAP net income to adjusted EBITDA included mark-to-market warrant income of $24.1 million related to the outstanding publicly and privately traded warrants, which were subsequently redeemed on January 31, 2022. Income tax provision benefit of $6.1 million, depreciation and amortization of $4.1 million, the full quarter impact of our Hercules loan interest expense of $2.8 million performance-based escrow revest of $1.9 million, acquisition costs of $1.8 million and $0.2 million of FX-related expenses. GAAP R&D expense was $12 million for the fourth quarter, which included a stock-based compensation of $3 million and amortization of purchase intangibles of $1 million, yielding $8 million of non-GAAP R&D expense for the fourth quarter of 2021. Growth in R&D spend continues to be driven largely by increased staffing and prototyping expenses related to our Space Systems Products and Services, neutron development and continued spend on our launch vehicle automated flight termination systems development efforts. GAAP SG&A expense was $19 million for the fourth quarter, which included stock-based compensation of $2.9 million, acquisition costs of $2.1 million, performance-based escrow revest related to ASI of $1.8 million and amortization of purchase intangibles of $100,000, yielding approximately $12.1 million of non-GAAP SG&A expense for the fourth quarter of 2021. Quarter-on-quarter step-up of $5 million was primarily due to higher transaction costs, performance based escrow revest and the first full quarter expense of director and officer insurance as a public company. Cash flow from operating activities was a negative $21.9 million for the fourth quarter 2021, with $2.8 million generated from operating results. Q4 saw an increase in cash consumed of $8.6 million versus the third quarter of 2021. Cash flow from operating activities in Q4 was impacted by the add back of non-cash warrant income of $20 -- $4.1 million, an $8.6 million increase in prepaid and other current assets, mainly derived from prepaid director and officer insurance premiums and ASI acquisition-related performance revesting charges. These offset somewhat by non-cash expense add-backs from stock-based compensation of $8.4 million and depreciated amortization charges of $3.4 million. For full year 2021, our cash flow consumed from operating activities was $71.8 million versus cash consumed from operating activities of $27.8 million in 2020. This increase in cash consumption was driven by operating loss of $170.8 million in 2021 versus an operating loss of $55 million in 2020. In addition, cash consumption was driven by an increase in inventory of $12.7 million and prepaids and other current assets by $10 point [Audio Gap] cash expense add-backs from stock-based compensation of $32.6 million and non-cash on expense of $15.3 million and depreciation and amortization charges of $10.9 million and by an increase in contract liabilities of $27.5 million. Cash flow consumed from investing activities was $80.7 million in the fourth quarter of 2021, compared to cash consumed of $5.7 million in the third quarter of 2021. With this quarter-on-quarter period increase in cash consumption driven by the net cash paid to acquire ASI and PSC, as well as execution on several large capital projects, including expanding our labs and satellite manufacturing facilities at our Long Beach headquarters, on our second launch pad in Launch Complex 1, our new consolidated propulsion test complex in New Zealand and the acquisition of electron launch recovery assets. For the full year 2021, our cash flow consumption from investing activities was $92.1 million, compared to cash consumed of $37.3 million in 2020, driven largely by the same factors affecting Q4 discussed earlier. In the fourth quarter, cash consumed from financing activities was $1.8 million, as compared to $704 million in cash generated in the third quarter, with the cash consumption in the fourth quarter driven by $2.2 million and net reduction of the proceeds from the leaseback associated with delayed building activities for professional services related to our merger with Vector Acquisition Corporation and the related pipe financing, which was somewhat offset by collecting $400,000 in proceeds from the exercise of employee stock options. The combination of cash consumed from operating and investing activities during 2021 was more than offset by the $799.9 million net cash generated from financing activities for the year, resulting in $692.1 million in any cash and cash equivalents. This compares to $21.5 million [Audio Gap] $3.1 million in proceeds from the exercise of employee stock options, which was more than offset by the $30.4 million related to the repurchase of shares and options stemming from management’s redemptions related to the de-spac transaction and merger of Vector Acquisition Corp. in the third quarter of 2021. In 2020, cash generated from finance activities was comprised of $20.5 million in net proceeds from the issuance of preferred stock and $1 million from the excess of stock options. We believe the liquidity resources of the company enable the execution of our strategic development road map, including the development of our neutron launch vehicle and continued investments targeted at expanding our total addressable market for strategic Space Systems solutions. With that, let’s turn to our guidance for Q1 2022. We currently expect revenue in the first quarter of 2022 to range between $42 million and $47 million, which includes two dedicated launches and a near full quarter contribution from SolAero, which closed on January 17, 2022. We expect Q2, sorry, we expect Q1 2022 GAAP and non-GAAP gross margins of 17% and 30%, respectively. GAAP gross margins are driven by product mix, as well as full quarter contribution of purchased intangible amortization expense and stock-based compensation related to PSC, ASI and SolAero. It is important to note, the purchase price allocation for SolAero has not yet been completed at the time of today’s call, and therefore, is not captured in our Q1 guidance. We expect Q1 2022 GAAP operating expenses to range between $38 million and $40 million and non-GAAP operating expenses to range between $21 million and $23 million. This quarter-over-quarter step-up is driven by the effect of full quarter contribution from ASI and PSC, as well as near full quarter contribution from SolAero. In addition, we continue to fund strategic development programs targeted at delivering strong topline growth in 2021 and beyond across Launch and Space Systems and our goal of delivering operating leverage in the business. The effects of these investments are already bearing out its proof of our expanding backlog and recent announcements regarding the award from NDA to design, manufacture and deliver 17 satellites for Globalstar. To put this into perspective, our Space Systems business generated its first revenue seven quarters ago and only contributed over a little over $2 million in revenue for the full year 2020, to now representing approximately 2/3 of our Q1 guide. We expect Q4 2021 GAAP and non-GAAP interest expense to be $2.7 million. With the completion of our private and public warrant redemption that closed on January 31, 2022, our P&L will no longer be subject to mark-to-market income and expense impacts of these legacy warrants. We expect Q4 2020, sorry, we expect Q1 2022 adjusted EBITDA loss to range between $3 million and $5 million. And with that, I’d like to open the call to questions. Operator?
Operator: [Operator Instructions] The first question is from the line of Edison Yu with Deutsche Bank. Your line is open.
Edison Yu: Hey. Thanks for taking my questions and congrats on the quarter. So two topics I wanted to ask about. First is considering the environment right now in space, obviously, a lot has happened within the last week. Have you thought about the potential implications, if so use get sanctioned or basic or saw particular spaces cannot fly for Europe? And I guess, is there any way to kind of speed up development of neutron to kind of compensate for that?
Peter Beck: Yeah. Thank you, Edison. Yeah. Obviously, it’s a crazy time in the world right now and we are working on neutron as quick as we can. So I am not sure we can accelerate that much more than it already is. But needless to say that, if things continue in this direction, there will be a far more limited launch availability than what normally would have been.
Edison Yu: Understood. And then second topic, clearly, the M&A strategy has been bearing quite a bit of fruit. You have all this content on some of the most important satellites. Is there anything you feel that’s out there left? Do you think you have kind of completed most of it or is there anything kind of strategic you still see out there potentially along lines of maybe integrated electric propulsion?
Peter Beck: We keep a pretty active pipeline of companies and dealers that we want to do and I wouldn’t feel like say that we have finished about, I am not going to be answering in details about what particular technology we might be going for next.
Edison Yu: Got it. If I could sneak in just 1 more. On the launch cadence, I know you have two kind of embedded in the first quarter. Without providing, I mean, a number per se, is there any kind of rough indication, assuming supply chain is fine on place, what could be kind of the run rate by the end of the year?
Peter Beck: I will take the first part and then Adam may want to pick up the second part of that. I mean, we are always paced by our customers’ readiness. You have seen us accelerate one customer because another customer wasn’t quite ready on time. So the thing that drives our launch cadence the most is our customer’s readiness.
Adam Spice: Yeah. And I will jump on to that and say, so I think that the, as Pete mentioned, like, we are not production constrained at the moment. I think our production resources have really delivered in the last quarter or so. So we are very much on pace to deliver the number of rockets that we are planning to for 2022. So our internal forecast for production this year was -- we comfortably came into the year with some rockets that we are in with and our plan is to build 15 rockets this year. We would love to be in a position where we could have some inventory of rockets on the shelf. Sounds funny to say that. But you look if we could have some rockets on the shelf that we could support turns opportunities, because every year, we see turns opportunities, where a customer comes in and they have got a very short lead time, because either they want to squat on some spectrum or they want to have to do it -- they then need to do a quick tech demo on orbit. So there’s no reason to believe that we can’t support those kinds of opportunities this year as we progress. So when you really think about where we want to be, we want to be exiting the year where we are launching at least monthly on a consistent basis and then progressing towards our goal when we get to, say, two rockets per month on a consistent basis. And I would say that there’s -- I think from a -- again from a production perspective, there’s nothing that would indicate that we can’t get there. I think there’s -- we are still in the process of the market demand kind of developing into what it ultimately will be as the small launch -- dedicated launch is a new category. But I would say that everything looks good at this point and we feel very comfortable that we won’t be a gating item to delivering the revenue for the business. It’s really kind of where the customers are. I think all those have to get somewhat accustomed to kind of the lumpiness of launch, right? So, as Pete mentioned, our customers really kind of get our launch cadence more than anything else. I think that will get alleviated over time as we have -- as demand picks up and you can really have slot and replace opportunities so that you don’t lose launch slots and you can kind of maintain your growth aspirations. I think a good example of that was literally in this quarter where the mission that we launched earlier today, we were able to basically we swap -- we are able to swap missions relatively quickly, again, because we have the unique position of having our own launch range, so we can move things around as we need to. If we were operating off for a traditional government range, that wouldn’t be the case. So I think that there’s a lot of things that influence launch rate cadence and so forth. But our goal will be, again, consistent launching on at least a monthly basis exiting 2022.
Edison Yu: Okay. Thank you.
Operator: Thank you, Mr. Yu. The next question is from Kristine Liwag with Morgan Stanley. Your line is open.
Kristine Liwag: Hey. Good afternoon, guys. Maybe on…
Peter Beck: Good afternoon.
Kristine Liwag: Hey. On -- you mentioned Rocket Lab capabilities now span the full space economy with your recent acquisitions and you have got integration, too. So does that mean you are comfortable with the portfolio as it stands today and we should expect M&A levels to kind of stop here or do you continue to see opportunity for bolt-ons?
Adam Spice: Yeah. Pete, I can take it. Sorry, go ahead. Go ahead.
Peter Beck: No. No. You go ahead. Yes. Yeah.
Adam Spice: Yeah. Kristine, I think, from an appetite perspective, we still have plenty of appetite to go and further accelerate the growth of the business through inorganic means. We have been successful, as you have seen in doing four acquisitions in a relatively short period of time, three since going public in August and we continue to see interesting and compelling assets out there. So I would say that, I wouldn’t expect the pace to continue as it has been, because that was very, very quick to do three acquisitions in series as we have just done. But I still expect to -- that we will find opportunities that we can execute on. And that was, again, one of the big reasons for going public was to make sure that we had the capacity and the capital to go out there and do these kinds of TAM expanding deals. So we think our strategy so far is bearing great fruit and we continue to plan to push that. Although I would say just naturally speaking, doing three acquisitions in the first six months of the public companies like, isn’t something that is normal or I would necessarily predict would continue into 2022 on that same rate.
Peter Beck: And I would just say…
Kristine Liwag: And then…
Peter Beck: … you can see kind of the strategy rolling out here with the win with MDA and Globalstar. I mean, having such a secure supply chain and scale really, really enabled us to beat out really established suppliers in that satellite manufacturing field.
Kristine Liwag: Thanks. And then also can you provide any updates on the planned testing around the first stage retrieval via helicopter? And if you can’t provide any specifics around timing, of the upcoming tests, can you speak to the testing regime overall and milestones to enable the regular recovery of boosters using a helicopter. I think you guys have said about 50% is eventually where you want to be?
Peter Beck: Yeah. Absolutely. So the helicopter that’s been selected to do this work has had all the modifications completed and it’s currently on route to New Zealand. We have completed all of the last of the drop test last week. So the team has been out there dropping rockets flat out. And the last revest that we did in last year really validated the final piece. We actually had helicopters on route and rendezvous don’t not catch, but rendezvous at this stage, which was really the last big piece. So this next launch coming up, we will have the helicopter set it out ready to go and we will, in fact, attempt to attach, and you won’t have to wait long today.
Kristine Liwag: Great. And if I could sneak a third one, the $143 million contract win that you got from MDA is a fairly meaningful win and you get to showcase this portfolio that you have built with SolAero, Sinclair, APL. So when you think about delivering on this contract, are there additional CapEx that you have to do in order to be able to build a 17 500-kilogram spacecraft or do you have the capacity already in place? And can you discuss potential execution risks around this contract?
Peter Beck: Yeah. I mean, we have made significant investments and continue to make significant investments into the Space Systems division. I think, we mentioned in the slides here, the continued expansion of the satellite manufacturing facility. You have seen us also grow ASI and increase our footprint in Colorado. There’s still some extension required from a facility standpoint, but these were already all planned before we actually won the contract and just have swinging as has been for quite some time. I mean, I think, with respect to execution, these are complicated spacecraft, for sure. But we have assembled a team of industry experts that, as you can see by some of the acquisitions to have executed on these programs in the past, been many times and we are feeling very confident in the core team’s ability. If you look at some of the other missions, we have also been awarded missions to NASA, missions to Mars from NASA and a large mission to the moon. These are very, very deeply complete mission and that’s really where our engineering team excels is these complicated programs. And just to make sure, in your previous question, Kristine, I just want to make sure I correct myself, the launch is coming soon. They haven’t defined a date for the full recovery.
Kristine Liwag: Yeah. Thank you, Peter. Thanks Adam
Operator: Thank you, Liwag. The next question is from the line of Erik Rasmussen with Stifel. Your line is open.
Erik Rasmussen: Yeah. Thanks for taking the question and congratulations. It’s a busy year for you guys. Maybe just a clarification on the launch and the cadence and everything else, two in the upcoming quarter or this quarter, Q1, and then exiting the year at least one per month. Just wanted to -- and reconciling that with 15 builds for the year, is that builds or launches, are those two coincide with one another?
Adam Spice: Yeah. No. Those are -- the 15 are incremental builds in 2015 -- 2022. So it’s not launches. So we have talked about kind of a range of launch or missions that would go off this year in 2022. And it’s -- I’d say that, right now, again, we think we are very comfortable kind of where we are at right now and being able to support a manifest that launches on that rate that I was talking about exiting 2022. We don’t want to provide full year guidance at this point, so we are kind of just providing kind of next quarter. But again, I think, we feel very comfortable where we are at, our ability to support kind of the launch manifest that we have discussed previously.
Erik Rasmussen: Okay. Great. And then maybe just the outlook for Q1, what’s behind that, maybe you just unpack the revenue outlook, what’s the organic piece versus what’s coming from recent acquisitions? And then I have another question.
Adam Spice: Sure, Erik. Yeah. We are not going to go to the details of kind of what kind of comprises space systems in particular at this point, because it’s becoming a very kind of diverse and intertwined set of businesses. When you think about components ranging from components that we have developed organically, ones that we built in partnerships like, for example, radios with Johns Hopkins, with the various elements from Sinclair and then the software from ASI and the solar panels and so forth and cells from SolAero. It’s just -- there’s a lot of interdependencies and it’s kind of hard to really kind of attribute what’s, at this point, kind of driven by organic versus inorganic. So at this point, we just kind of, again, point to the -- we provide the level of detail as far as which components like as far as Launch versus Space Systems. But I think going below Space Systems is probably not going to be kind of productive and really be all that meaningful.
Erik Rasmussen: Got you. I understand. And then maybe just the last on -- to follow-up on the MDA subcontract award, by the way, congrats on that. What sort of milestones should we be looking out for and then it also seemed that there is an opportunity for Rocket Lab to provide additional services and up to nine additional spacecraft? What could that mean in terms of revenue above the $143 million initial contract? And then the last thing on that is, they did talk about Globalstar is going to be looking to have a contract after launch of those satellites separately, is that something that you can also win? Thanks.
Adam Spice: Yeah. Pete, I want you to take the opportunities kind of around the satellite builds beyond the $17 million.
Peter Beck: Yeah. Absolutely. Yeah. So there is -- as everybody clearly there is options to build further and there are a number of other options around other pieces of technology. The launch -- the scheduled launch date for these satellites coincided nicely with neutron’s operational readiness, and we will certainly be bidding on launch for this spacecraft, which, if successful, would really round out the strategy and show the power of both being able to build satellites and also being able to launch.
Adam Spice: Yeah. Erik, I would say that around like the milestones, so forth, I mean, from a revenue perspective, this is -- for the most part of back-end loaded contract from a revenue perspective. So you can think about, obviously, we have done a lot of work up at this point on designs, doing the design work. But then that’s really kind of just to get the award. Now it’s all that kind of really kind of doing the next level of NRE work, and then, ultimately, at the beginning of shipping the systems to the customer. So I think as far as milestones, you probably won’t hear a lot as far as -- this is not like neutron where you will do an engine test, for example, or kind of implement some infrastructure that’s visible. So this is one of those contracts that where it’s going to become of that final execution where we have a very detailed set of milestones internally to execute towards, but nothing that’s really going to be visible again to investors until you start to see revenue come off of the contract, which again is really more back-end loaded. So you really shouldn’t expect, I would say, material revenue contribution in 2022 from this contract. This is really more 2023 and beyond.
Erik Rasmussen: Got it.
Adam Spice: And as far as the -- the upside to the -- if we were to deliver the incremental nine options on the contract, again, we don’t want to speak to that at this point, because, again, I think, we have -- part of this is to make sure that people’s expectations don’t get out of whack. So for us, we just want to speak to what’s committed and what’s committed as the 17. That’s what went in the backlog. And to the extent that we get notification from the customer that they want to exercise, some of those incremental options. We will be sure to kind of let folks know about that.
Erik Rasmussen: Thanks. Good luck everybody.
Operator: Thank you, Mr. Rasmussen. Your next question is from the line of Suji Desilva with ROTH Capital.
Suji Desilva: Hi, Peter. Hi, Adam. Congratulations on the strong finish for 2021. Adam, I don’t want you to break the earnings up, but I just want to clarify, did you say that SolAero in 1Q 2022 was minimal because of the accounting for the merger, is that…
Adam Spice: No.
Suji Desilva: … what you said?
Adam Spice: No, no, no. No. So basically, we will get most of the quarter’s impact from SolAero in Q1, because the deal closed on January 17th. So there’s going to be a lot of purchase price accounting related impacts to our GAAP results in Q1. But no, we will we will get full -- not full, but nearly full operational contribution from SolAero in Q1. And we mentioned previously when we announced that acquisition is that they were kind of roughly on a $20 million per quarter, $80 million per year revenue run rate and so you should be thinking along those lines of kind of a prorated amount assuming that the deal closed on January 17th, just for rough math.
Suji Desilva: Okay. And then the backlog, clearly a very strong spike, congratulations on that. Is there any way to understand how much of the backlog is attributable to Launch versus Spacecraft versus Space Agency components? Does that break out kind of helpful or just -- if not that, just qualitatively what drove the significant spike since the end of 2021?
Adam Spice: Yeah. Well, obviously, the biggest contributor to post year-end backlog growth came from the MDA contract, right?
Suji Desilva: Yeah.
Adam Spice: … at $143 million. But we did have continued growth in our backlog across our spacecraft components business, software, all the pieces of space systems are really operating well right now, and all contribute to that growth in the backlog number. And we continue to sign up new launch customers as well. So it’s almost -- it’s like there’s not necessarily a weak spot in the business. There’s not. I would say, the disproportionate contribution in the post year was certainly on the space systems side, specifically to this MDA contract. But I wouldn’t want that to kind of obscure the fact, there’s been a lot of other activity across the portfolio of Space Systems and across Launch as well. So we are very encouraged by the backlog growth. I mean, that’s one thing we have always been trying to message to investors is, people can talk about pipeline all day long, but it’s really all about backlog. Backlog shows the committed resources behind the platforms, whether it be launch or Space Systems. So, yeah, we take a lot of comfort in that backlog growth that we have seen, not only in 2021, but as we have progressed so far through 2022.
Suji Desilva: Great. No. The MDA contract is certainly a good one, congrats on that. Just one last quick question, if you do the factory envelope math, it comes out about $8.5 million per spacecraft. I am just wondering if that a good number to use for going forward spacecraft opportunities? Is it proportional to the size or complexity of the spacecraft? Any color there would be helpful.
Adam Spice: Yeah. I wish it was that easy. Unfortunately, each spacecraft is so unique. There’s really no kind of metric that really fits at all, either mass nor type of platform, they are all very, very different. And you can also think about the fact that the spacecraft that we designed in this case here, there’s quite a bit of NRE and that’s all kind of taken in aggregate when you look at the totality of the contract. So you kind of have -- also hard to fortune how much of it is like bomb and assembly and AIT versus NRE. So, again, we will get to the extent that we get further constellation, volume upticks, we will be to share those metrics as it become available.
Suji Desilva: Thanks, Adam. That’s it.
Operator: Thank you, Mr. Desilva. The next question is from the line of Austin Muller with Canaccord. Your line is open.
Austin Muller: Hi. Good afternoon, everyone. My first question here is for Peter. Do we have any update on the rain software that you are supposed to get from NASA to operate to Launch that?
Peter Beck: Yeah. Hi, Austin. So they have released an initial version to us and we are going through our own internal review. There’s probably some slight tweaks here that needs to be made. But that is progressing. NASA have delivered some software products to us, which is very, very promising and giving us much more confidence to be able to schedule something to launch out of 2022.
Austin Muller: Okay. That’s helpful. And then just on the neutron facility that’s being built in Virginia. Do we have any timing on how long you think it will take to get that facility set up and start putting out rockets there and will early neutrons all come from there or will some come from New Zealand or California?
Peter Beck: Yeah. No. Sorry. All neutrons will come from that facility. The land is already been acquired by NASA, the Midland Space Port. And we will be digging holes in the ground very, very shortly. It’s -- the program kind of enables us to have a more relaxed approach to building that infrastructure. There are certain things we need immediately, and obviously, you don’t need to launch that until you really launch. So the whole construction part of that is phased quite eloquently across the submission development time lines.
Austin Muller: Got it. And then how comfortable are you guys with the supply chain right now? Are you seeing any potential issues on the horizon or are you still very confident in this environment?
Peter Beck: I don’t think anybody is confident in this environment. I mean, I will say that it’s great to have a large part of the supply chain, because you can really manage things. But like everybody, we are continuing to manage the shortages and all those kinds of things. However, we took an approach of early of carrying a large amount of work. So we haven’t seen any programs delayed as a result of any supply chain issues.
Austin Muller: Excellent. Thanks for filling me in.
Operator: Thank you, Mr. Muller. The last question is from Cai von Rumohr with Cowen. Your line is open.
Cai von Rumohr: So, as you know, Layer 1 was awarded, I think, yesterday. And Lockheed with Terran basically, I guess, got one of the spots 42 satellites. They claim they are putting up this huge facility in Florida and are basically going to have volume production. So they will have cost totally unmatched by everyone else and it looks like your MDA satellite is kind of in the same size range. So do they represent a serious competitor to you, because it looks like they are going predominantly after DoD and your -- it looks like you are going after more commercial civil. So what sort of a threat do they pose, if any?
Peter Beck: Yeah. That’s a great question, Cai. I guess, we are a little bit different in the respect that if you look at the supply chain of critical components, whether it be solar or reaction wheel, StarTrack, all of those things. We have taken an approach of making sure that we have those for us and also for holders of scale. So really, I think, we are in a different kind of place. We are not just focused on commercial. We are happy to do defense work as well. But, I mean, I think, if you look at our acquisition strategy and what was kind of rolled up and I would have to guess that either way we will be a participant in those same bureaus at a component level.
Cai von Rumohr: Sure.
Operator: Thank you, Mr. von Rumohr. I will now pass the conference over to Adam Spice for any closing remarks.
Adam Spice: Thanks, Operator. Before we wrap up the call, I’d like to thank everyone who participated in today’s call and we look forward to having the opportunity to provide further updates on our business, including through our participation at the ROTH Conference on March 13th through 15th, the Deutsche Bank 30th Annual Media, Internet and Telecom Conference on March 14th, and the Bank of America Space Transport, Aviation and Auto Research Summit, or STARS conference March 20th through 22nd. And again, thanks again, and we look forward to speaking with you again about exciting progress that we are making in our business. Thank you, Operator.
Operator: That concludes the Rocket Lab fourth quarter 2021 financial results conference call. Thank you for your participation. You may now disconnect your lines.